Operator: Good morning and thank you for joining us for Marine Products Corporation’s Second Quarter 2016 Financial Earnings Conference Call. Today’s call will be hosted by Rick Hubbell, President and CEO; and Ben Palmer, Chief Financial Officer. Also present is Jim Landers, Vice President of Corporate Finance. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session; instructions will be given at that time for you to queue up for questions. I would like to advise everyone that this conference call is being recorded. Jim will get us started by reading the forward-looking disclaimer.
Jim Landers: Thank you and good morning. Before we get started today, I’d like to remind everyone that some of the statements that we will make on this call may be forward-looking in nature and reflect a number of known and unknown risks. I’d like to refer you to our press release issued today, our 2015 10-K, and other SEC filings that outline those risks. All of these are available on our website at www.marineproductscorp.com. If you have not received our press release and would like one, please visit our website again at www.marineproductscorp.com for a copy. We will make a few comments about the quarter and then we will be available for your questions. Now, I will turn the call over to our President and CEO, Rick Hubbell.
Rick Hubbell: Jim Thanks. We issued our earnings press release for the second quarter of 2016 this morning. Ben Palmer, our CFO will discuss the financial results in more detail in a moment. At this time, I will briefly discuss our operational highlights. Our net sales increased by 9.4% during the second quarter. Net sales improved due to the higher unit sales of our Robalo outboard sport fishing boats and the Chaparral improved sales in our largest H2Os and SunCoast Sportdecks. This quarter represents a continued overall improvement in the recreational boat market and a good 2016 retail selling season. We continue to be pleased with the market share of all of our product categories. Our Chaparral sterndrive product continued to hold the highest market share in its category, approximately 14.5% for the 12 months ended March 31. Our Chaparral Vortex held the number two position in the jet boat category and evolved as the top five manufacturers in the outboard sport fishing category. We also announced this morning that our Board of Directors yesterday voted to pay a quarterly dividend of $0.06 per share, the same as last quarter. With that overview, I will turn it over to our CFO, Ben Palmer.
Ben Palmer: Thank you Rick. For the quarter ended June 30, 2016, we reported net income of 4.8 million, an increase of 8.8% compared to 4.4 million in the second quarter of 2015. Our diluted earnings per share for the quarter were $0.13, a $0.01 increase compared to earnings per share of $0.12 in 2015. Net sales for the second quarter of 2016 were 65.1 million, an increase of 9.4% compared to the second quarter of ’15. Our unit sales increased by 10.9%, which was partially offset by a 2.9% decrease in the average selling price per boat. This decrease in average selling prices was due to the quarters’ model mix. During the current quarter, our results benefited from higher unit sales of our Robalo outboard sport fishing boats and SSi and SSX sports boats and SunCoast outboards. Gross profit in the second quarter was 13.8 million, an increase of 9.6% compared to the second quarter of 2015. Gross margin during the quarter was 21.2% comparable to the second quarter of 2015. Selling, general, and administrative expenses were 7.1 million in the second quarter of 2016, an increase of 915,000 compared to the second quarter of last year. These expenses increased due to higher salaries and warranty expense, partially offset by lower incentive compensation as compared to the second quarter of last year. US domestic net sales were strong increasing by 13.6% in the second quarter of 2016, compared to the second quarter of last year. While international sales decreased 19.2% and represented 9.6% of total sales during the second quarter of this year, a decline compared to 13% of total sales during the second quarter of 2015. Interest income in the second quarter was 151,000 compared to a 105,000 in the second quarter last year. Marine Products’ income tax provision during the second quarter was 2,045,000 compared 2,099,000 in the second quarter of ’15. The effective tax rate was 29.8% in the second quarter of this year compared to 32.2% in the second quarter of 2015. Once again our balance sheet remained strong. Our cash and marketable securities balance increased to 47.7 million at end of the second quarter compared to 45.8 million at the end of the second quarter last year. Working capital was higher at the end of the second quarter of this year, compared to the prior year to support higher production and sales, but we continued to generate strong operating cash flows. As of June 30, 2016 compared to the prior year, both our order backlog and our dealer inventories were higher, which reflects both a strong end to the retail selling season as well as continued dealer confidence for the immediate future. And with that I’ll turn it over to Rick for a few closing comments.
Rick Hubbell: Thank you, Ben. The recreational boating industry continues improve. It was recently reported that June year-to-date retail sales increased by approximately 9%, with strength in most of the main power boat segments. We are happy to be participating in this market with a broadening array of innovative products. Ben just stated that our backlog and dealer inventory statistics were strong at the end of the second quarter. Based on these factors, strong industry conditions, and our optimism about the 2017 model year, we plan to increase production gradually during the third quarter. Our annual dealer conference is coming up in a few weeks and we look forward to showing our 2017 models to our dealer network and gauging their reaction to our plans for the upcoming model year. I’d like to thank you for joining us this morning, and we’d be happy to take any questions.
Operator: [Operator Instructions] And we’ll go first to Jimmy Baker with B. Riley & Company.
Jimmy Baker: Rick I think you mentioned that Robalo’s in the top five in terms of market share in that category. Is that a change from prior periods and I guess could you just remind us where Robalo’s share stands as a percent of the market.
Rick Hubbell: I don’t have that right in front of me. Jim does and I’ll turn it over to Jim in a minute. But it has certainly improved and this past performance is the highest we have seen yet. Jim can give you more specifics.
Jim Landers: Yeah Jimmy for the 12 months ending March 31 as Rick said, statistical survey reports us having a 4.4% market share. In previous quarters and years and that’s number five - in previous quarters and years when we’ve run those numbers, our Robalo has tended to be around the 7 or 8 rank range. So, that’s what’s behind the comment about some market share improvements.
Jimmy Baker: And then could you just speak to the announcement earlier in the month that the expanded availability of Mercury engines in that Robalo line. Is that something that’s available to your customers immediately or will that come with model year ’17 changeover, and should we be expecting any impact to either average unit price or margins as a function of that move.
Rick Hubbell: Well, the 2017 model year is already in effect and those engines will be available soon, and we don’t expect any appreciable difference in the margins to us. We’re just trying to make additional alternatives available to our dealers and end consumers and we think even though that complicates our business a bit to have additional options, we think it’s the best thing again for our dealers and consumers at this time.
Jimmy Baker: Understood. I was hoping to just also talk a little about the organizational changes you announced earlier in the quarter. I guess have you made all the changes that you’re planning for and did those changes result in any unusual SG&A expenses in the quarter?
Rick Hubbell: No, we have made all the changes and there have not been any appreciable financial changes at all because of them.
Jimmy Baker: Okay, fair enough. And then just lastly, hoping you could maybe help quantify that anticipated production increase coming out of the third quarter you mentioned gradually. Should we think about that as up low-single digits as a percentage of the prior run rate, and then is that consistent amongst across Chaparral and Robalo or more heavily weighted towards one side of your business?
Jim Landers: Jimmy this is Jim again. I think the best way to think about or at least the way we’re thinking about it is that by the end of third quarter, we anticipate being on a production run rate that’s about 10% or may be a little bit more than 10% higher than second quarter. The reason that’s a little bit muddy is that July is a very short month because we shut down the plant for inventory and model year changeover. So July is a short month, and we just want to ramp up production gradually. So, there will be the normal seasonality between second and third quarter, but at the end of third quarter, we anticipate to be at a production run rate that’s probably 10% higher, and it will be more heavily weighted towards Robalo, just because that’s where so much of our growth has been lately.
Operator: [Operator Instructions] And it appears there are no further questions at this time. Mr. Landers, I’d like to turn the conference back to you for any additional or closing remarks.
Jim Landers: Alright, Eric. Thank you Jimmy, thanks for your questions, and thanks to everybody else who called in. Hope everybody has a good day, and we will see you soon.
Operator: This concludes today’s call. This call will be available for replay within two hours at www.marineproductscorp.com. Thank you for your participation. You may now disconnect.